Operator: Good morning, ladies and gentlemen. Welcome to the TELUS 2013 Q3 Earnings and Guidance Conference Call. I would like to introduce your speaker, Mr. Darrell Rae. Please, go ahead.
Darrell Rae: Welcome, and thank you for joining us today for our third quarter 2013 investor conference call. This call is scheduled for up to 1 hour. The news release for our third quarter financial and operating results and detailed supplemental investor information are posted on our website, telus.com/investors. [Operator Instructions] Let me now direct your attention to Slide 2. This presentation answers the questions and statements about future events such as 2013 guidance, intentions for dividend growth and future share purchases are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ material -- materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements, except as required by law. I ask you that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with the securities commissions in Canada and the United States. Slide 3 outlines today's agenda. We will start with opening comments by President and CEO, Darren Entwistle; followed by a review of operational highlights by Joe Natale, our Chief Commercial Officer. John Gossling, our CFO, will provide a review of third quarter financial results before concluding with a question-and-answer session. Let me now turn the call over to Darren, starting on Slide 4.
Darren Entwistle: Thanks, Darrell. TELUS once again, delivered strong quarterly results, underpinned by our strategic investments in advanced broadband technology and services, coupled with our unwavering focus on putting customers first and realizing operational efficiencies. Our differentiated client-centric culture continues to attract new customers, as evidenced by our third quarter addition of 106,000 new postpaid wireless customers, 34,000 new TV clients and 19,000 new high-speed Internet connections. Further reinforcing our commitment to our valued customers, TELUS also reported an industry-leading monthly postpaid wireless subscriber churn rate of less than 1%, our lowest since the first quarter of 2007. Moreover, our third quarter consolidated revenue grew by 3.6%, buttressed by higher revenues in both our wireless and wireline segments. This progress is a result of sustained growth in our customer connections, as well as continued data consumption that is contributing to increases in our average revenue per customer, offset by declines in wireless and wireline voice service and equipment revenues. Our third quarter EBITDA was the highest on record, with growth of 4.6%. Exclusive of restructuring and other like costs, EBITDA increased 5.7% on a year-over-year basis, including EBITDA growth of 7% in wireless and 3.4% in wireline. This represents our fourth consecutive quarter of normalized wireline EBITDA growth. Due in large part to our continued emphasis on cost efficiency initiatives, consolidated normalized EBITDA margin improved by 70 basis points to 36.5%. Furthermore, our wireline EBITDA margin, excluding restructuring and other like costs, increased year-over-year for the first time since the first quarter of 2010. In the third quarter, TELUS generated record earnings per share, with growth of 13.6% and robust free cash flow, enabling our organization to further invest in growth while providing superior investment returns to our shareholders. Notably, by the end of the quarter, we successfully completed our expanded 2013 normal course issuer bid program, which we commenced in May, purchasing 31.2 million common shares and returning $1 billion to our shareholders. We expanded this year's NCIB by $500 million to $1 billion to take advantage of this summer's share price weakness. As a result, the average share purchase price was $32.07, a 13% discount to yesterday's closing price for our shares. The purchased shares represent 4.8% of shares outstanding prior to the commencement of the NCIB program, resulting in savings of approximately $42 million in annual dividend payments. You can see clearly the synergistic relationship between the NCIB program and our dividend growth model. In keeping with our continued focus on supporting and creating shareholder value, in the first 9 months of 2013, we returned $1,639,000,000 to our shareholders through our dividend growth and share purchase programs. It is our intention, subject to ongoing board support, to continue this share purchase program for up to $500 million each year from 2014 through 2016, for a total of up to $2.5 billion. Today, importantly, we announced a $0.36 quarterly dividend. This represents a 12.5% increase year-over-year. This is the sixth dividend increase since we initiated our formal dividend growth program in 2011, targeting 2 dividend increases each year and growth of circa 10% annually. Again, you can see that this is a company that delivers on its commitment. Additionally, in May, I announced the extension of this program for 3 more years to 2016, again, subject to ongoing board assessment and support. Our multiyear annual dividend growth program, and our ongoing share purchases are consistent with TELUS' goal of providing ongoing and superior investment returns to our shareholders. In closing, I'd like to take this opportunity to speak about 2 recent advancements for our organization. Firstly, TELUS' application to acquire Public Mobile, which received approval from Industry Canada on October 23. While this transaction requires further approval from the Competition Bureau, if successful, it will ensure continuity of service and enhanced functionality for Public Mobile's 280,000 wireless customers. Notably, Public Mobile's G block spectrum in Ontario and Québec aligns with the Novus spectrum in Alberta and B.C. TELUS purchased earlier this year. G block spectrum represents an increasingly valuable ecosystem, with U.S. carriers ensuring this bandwidth is purposed for the deployment of LTE networks. Notably, the spectrum is incorporated within the iPhone 5s and 5c chipset, consistent with the trend across smartphone manufacturers who produce products that can be used on a global basis. This acquisition is consistent with TELUS' commitment to provide unparalleled customer service and innovation, while continuing to deliver exceptional value for our shareholders. Secondly, I would like to share some encouraging results from the Commissioner for Complaints for Telecommunication Services in their Annual Report. "Impressively, your company's complaints received by the CCTS in the 2012 to 2013 timeframe decreased by an impressive 27.1% on a year-over-year basis. This is not a singular event. This is the second successive year that we've experienced a material decline in the number of complaints submitted against your organization. Importantly, TELUS complaints represent just 6.4% of the 13,692 complaints received, a decrease in share of almost 500 basis points over last year." These positive outcomes are a direct result of our organization's steadfast dedication to providing extraordinary and consistently excellent client experiences. I remain confident that we will continue successfully advancing our national growth strategy focused on data and wireless to deliver value, driven by our team's unwavering commitment of putting customers first across all of our business segments, driven by our strong balance sheet, positioning us well for the upcoming spectrum auctions and for the long term, driven by our multiyear dividend growth and share purchase programs, and finally, driven by our robust earnings enhancement program, targeting EBITDA improvements of $250 million by 2015. I now invite Joe Natale to take you through the highlights of the third quarter operating and financial results. Joe, over to you.
Joseph M. Natale: Thanks, Darren, and good morning. Starting on Slide 5. We produced healthy third quarter postpaid wireless net additions of 106,000, with the mix continuing to shift toward smartphones and higher end postpaid plans. We maintained our strategic focus on quality, high-value subscribers. However, postpaid net additions were down slightly year-over-year. Net additions in the quarter were negatively impacted by approximately 11,000 Mike net deactivations. It is worth noting that in October, we launched TELUS Link, the next generation push-to-talk service over our TELUS 4G HSPA and LTE networks, as well as Wi-Fi. Link provides instant walkie-talkie voice communication with an individual or team, as well as standard wireless service, enabling members of a work team to connect in less than 1 second. TELUS Link is the only LTE push-to-talk service that is compatible in all major smartphones and can be used over Wi-Fi. At the end of July, we launched our new SharePlus plans, which have resonated very well with customers. We are seeing positive trends in ARPU and churn, as well as the bring-your-own-device component, which is stimulating add a line behavior. This illustrates the simplicity and value of our unlimited text and calling plans, and the attractiveness of the data sharing component to our customers. Altogether, our total postpaid subscriber base was up 5% over last year. Moving to Slide 6. TELUS reported our 12th consecutive quarter of year-over-year blended ARPU growth, up 1.7%. This was clear evidence of our consistent focus on attracting high-value customers with a rapidly expanding demand for data services. ARPU expansion is being driven by strong ongoing wireless data growth of 17% and continued robust smartphone adoption. Our smartphone subscriber base increased to 75% of our postpaid base, a strong 12 point increase compared to 63% last year. This is being supported by the continuing expansion of our 4G LTE network, now covering 80% of the Canadian population. Looking at our metrics. These investments are clearly paying off. As shown on Slide 7, TELUS reported a low blended churn rate of 1.3%, an 8 point improvement over last year. Postpaid churn improved 11 points to an industry low of 0.99%, the lowest in 6.5 years, which was achieved in a climate of ongoing intense competition. Low churn allows us to make and take a measured approach in acquiring new customers. We simply don't need to match every promotion or push on expensive gross loading. TELUS' industry-leading churn reflects a few things: The significant investments we have made in evolving our world-leading network technology and coverage; our disciplined acquisition and retention investments focused on smartphones, and our team's continued focus on the customer experience. We are very pleased to see the success of our focus on enhanced customer experience reflected in the most recent report from the Commissioner for Complaints for Telecommunications Services, as Darren mentioned a few minutes ago, or CCTS. In contrast to our peers, the report showed complaints related to TELUS down again this year by an impressive 27%. Putting context, TELUS' 88 complaints per 1 million customers were almost 4x fewer than our major national peers, or up to 13x fewer than the largest of the new entrant providers. Again, in contrast to our peers, the number of complaints related to TELUS have decreased each year since the CCTS began reporting data. We could not ask for better validation that our relentless effort to differentiate TELUS through superior customer experience are paying off. Turning to Slide 8, our low churn rate helped the ARPU growth, support our continued industry leadership in lifetime revenue per subscriber, up again this quarter to approximately $4,600, the highest in 8 years, and more than 17% better than our closest peer. Cost of acquisition per gross addition was down slightly at $399, in spite of intense competitive activity and focus on smartphone loading. TELUS' marketing efficiency, as a ratio of cost of acquisition per gross addition to lifetime revenue remains industry leading. Our investment in cost of retention was relatively flat at 11.2% of network revenues. Overall, our leading operating metrics are underpinned by our strategic focus on high quality loading, smartphones and providing an enhanced customer experience. This is clearly leading to profitable subscriber growth for TELUS and our investors. Turning to wireline on Slide 9. You can see the increased scale we continue to build in TV and high-speed Internet. TV subscribers are up 34,000 in the quarter, with the base growing by 22% over last year as we continue to expand market share. The demand for TELUS' premium and differentiated Optik TV offering remains very strong. And our share of the available market, stronger than ever. There continues to be good pull-through growth in the demand for Optik TV and -- sorry, Optik high-speed Internet, with an increase of 19,000 subscribers in the quarter. Through TELUS' continued broadband investment in pushing fiber deeper into the network, and directly-to-the-home in some cases, we now offer a minimum of 50 megabits per second Internet speed to 88% of the approximate 2.6 million Optik-capable households. As a result of these success factors, our high-speed Internet base grew by more than 5% year-over-year. We continue to see positive momentum in the overall economics of Optik TV and Internet, with ARPU increasing as a larger proportion of our TV customers come off introductory pricing and add channels and content. We continue to enhance the Optik TV customer experience, as we build on our HD content leadership and increased functionality. Most recently, TELUS launched our wireless set-top box, improving the Optik TV install experience and giving our clients enhanced viewing flexibility within the home. We reorganized our channels into surf zones with similar content arranged into groupings. This makes it easier for customers to browse a particular genre of programming, such as sports or news, and find the content they want. And we continue to add and refresh features and applications, including launching The KARAOKE Channel TV App and the new TumbleBooks App. Combined TV and high-speed net additions of 53,000 exceeded residential NAL losses by 1.6x. This was the 13th consecutive quarter that we have seen this key trend. While residential NAL losses are relatively stable, we continue to see substitution impacts to wireless and competition remains intense. We remain very focused on identifying efficiency opportunities to mitigate substitution and competition impacts. Notably, our ongoing focus on efficiency is, at the same time, helping us enhance effectiveness in delivering a superior experience to our customers. With that, I will turn the call over to John to take you through the financial results generated by our continued strong operating performance.
John R. Gossling: Thanks, Joe. Good morning, everyone. I'm on Slide 10. Third quarter wireless results continue to demonstrate our strong operational execution, external wireless revenue increased by 4%, reflecting continued subscriber and data revenue growth. Network revenue was up 5%, while equipment revenue declined due to lower acquisition volumes and a change in device mix. EBITDA for the quarter increased by 6.6%, or up 7% excluding higher restructuring and other like costs, reflecting a margin of 47% of network revenue, up 80 basis points year-over-year. This is our seventh consecutive quarter of year-over-year margin expansion. Capital expenditures increased by 11%, due to continued investments in network expansion. The simple cash flow increased by 5% due to strong EBITDA growth. Slide 11 shows the combined impact of our data ARPU growth, plus the increase in our subscriber base, which resulted in wireless data revenue increasing by $91 million or 17% in the quarter. As Joe mentioned, this growth was driven by higher penetration of smartphones and associated take-up of data plans, as well as higher data roaming volumes. Data now represents 44% of network revenue compared to 40% in the same period a year ago. Slide 12 shows our wireline financial results. Revenue increased by 3%, due to data revenue growth from TV and high-speed Internet subscriber growth, combined with higher ARPU and higher revenue from TELUS Health services. It's worth highlighting that last year, in Q3, wireline revenue benefited from a onetime low-margin equipment sale worth $18 million. Wireline EBITDA increased by nearly 1%, but was impacted by higher restructuring and other like costs of $11 million, a $9 million bump year-over-year. EBITDA, excluding restructuring and other like costs in both periods, was up 3.4%, reflecting a margin of 27% of revenue, our first increase in normalized margins since the first quarter of 2010. The improvement reflects positive momentum in Optik TV and Internet margins helped by lower subscriber acquisition costs, continued ARPU growth, as well as ongoing operating efficiency initiatives. Wireline capital expenditures increased by 22% due to ongoing investments in broadband infrastructure, including connecting more homes and businesses directly to fiber optic cable to support customer growth and faster Internet speed. Slide 13 shows we are generating strong wireline data revenue growth of 9%. Recall, wireline data revenue in Q3 of last year benefited from the onetime data equipment sale. In addition to TV and high-speed Internet subscriber and ARPU growth, this result was also driven by increases in hosting and managed workplace revenues and TELUS Health. Data revenue represented 61% of external wireline revenue, up 3 points from a year ago. Putting it all together on Slide 14. Revenue increased by 30 -- sorry, 3.6%. Reported EBITDA increased by 4.6%, and when excluding restructuring and other like costs in both periods, was up 5.7%. Basic earnings per share of $0.56 was a record and increased by 14%, while excluding higher restructuring cost, EPS was up 18%. I'll discuss the puts and takes on the next slide. CapEx increased by 18% due to higher capital expenditures in both wireless and wireline, as I mentioned, to support growth in broadband services. Slide 15 provides a breakdown of EPS drivers this quarter. Strong EBITDA growth added $0.05 to the upside, while lower depreciation and amortization added $0.02 of growth. Lower average outstanding shares reflecting our $1 billion share purchase program that we completed in September added $0.02 to the upside. Higher financing costs reflecting a higher debt balance and higher tax expense each contributed $0.01 to the downside. Overall, EPS is up an impressive 14%, or 18% excluding higher restructuring costs. Before passing the call back to Darrell, let me highlight 2 changes to our 2013 guidance targets outlined on Slide 16. Reflecting year-to-date results, TELUS has updated the annual wireless external revenue guidance to reflect slightly lower-than-expected wireless equipment revenue. TELUS now expects external wireless revenue to be in the range of $6.1 billion to $6.2 billion. Meanwhile, external wireline and consolidated revenue guidance remained unchanged. In addition, the capital expenditure target is being raised to approximately $2 billion. And importantly, our guidance for 2013 EBITDA and EPS remained unchanged and are being reaffirmed today. The revised guidance excludes any impact of the proposed Public Mobile acquisition, which is not expected to be material to our 2013 annual guidance. So with that, let me pass the call back to Darrell for questions.
Darrell Rae: Thanks, John. Peter, can we please proceed with questions from the queue? For Darren, Joe and John?
Operator: Our first question comes from Morgan Stanley, Simon Flannery.
Simon Flannery - Morgan Stanley, Research Division: You mentioned the Mike disconnects on the call impacting it. And I think we've seen, obviously, Nextel's network get shutdown by Sprint. So can you just talk a little bit more about the future of the Mike network? And I think you're also in the process of decommissioning your CDMA network. What will be the opportunity there on the cost side, if you are able to move on to an HSPA LTA -- LTE network completely? And what might be some of the integration costs around that?
Joseph M. Natale: Sure. Why don't I start. And then, Darren, if you can top up on the CDMA front. With respect to the idea of push-to-talk, it served us well for 15 years. It's a terrific product. It currently represents a very small percentage of our base, 2% or less of our base at this point in time. And we still have a number of customers that are devoted and dedicated to Mike. So we will continue to support those customers through the foreseeable future. Meanwhile, we've launched the Link solution. And we're also going to launch some rugged handsets in a very short well that will support the Link solution. And we'll continue to kind of drive that focus in the marketplace for customers that want the push-to-talk service. There will be a point in time in which we will wind down the network down the road. Right now, it's still accretive. And we've managed to grind down the cost and support infrastructure appropriately without diminishing quality. So that will happen in due course. But we're pleased with the launch of Link over LTE, it’s the first of its kind. And as we get take-up in the marketplace, we will begin the shift. Darren, on CDMA?
Darren Entwistle: I think in terms of clarity on CDMA, Simon, I can give you some basic parameters to think about. We will start the process of decommissioning -- preparation of decommissioning our CDMA network in 2014, with a look to decommission and turndown our CDMA network in the 2015 timeframe. I think that's consistent with the trajectory that we are seeing for CDMA within the marketplace. The efficiencies associated with that are notable. They're both operating cost efficiencies on the OpEx front, as well as CapEx efficiencies that we will be able to harvest as a result of that decommissioning. And those efficiencies are obviously not reflected in our cost base today, where we are operating multiple technologies across iDEN, CDMA and HSPA and LTE. So as we have that rationalization down to 1 or 2 technologies in the HSPA LTE world, the opportunity for us to improve our EBITDA from the OpEx efficiencies, the opportunity to improve our cash flow through the CapEx efficiencies, I think, are notable. And that's always on the come for this organization not reflected in our current operating results or balance sheet. Second thing that I think is also notable is, the ARPU on the HSPA front is distinctly higher than the legacy CDMA environment. So as we effect the transition of clients associated with the CDMA decommissioning, not only will we harvest the cost efficiencies, but also looking forward to realizing an ARPU gain. So that, Simon, is what we're doing.
Simon Flannery - Morgan Stanley, Research Division: Most of the CDMA customers, presumably, will have upgraded to an LTE handset by 2015, so you won't have too many people left to switch. Is that right?
Darren Entwistle: That's correct.
Operator: Our next question comes from Maher Yaghi.
Maher Yaghi - Desjardins Securities Inc., Research Division: I wanted to talk about your plans going forward with the G band? Now you own the Alberta and B.C. and soon you'll have the Ontario and Québec. Is the plan to own across the country the G band, some areas probably you won't be able to, but are you looking to get also, Atlantic, Canada? And for that band, given that the network sharing agreement you have with BC, can you describe what comes under that network sharing plan? Does this block fall under it? And when you look at the interoperability of phones, do you need that band to be available all across the country to be efficient? Or you can switch out from one band to another band as the customer switches provinces?
Joseph M. Natale: Okay. So let's chunk through this, Maher. Number one, clearly, we were looking to achieve a national topology in respect to the G block. We had secured the western component in Alberta and B.C., as a result of the Novus acquisition earlier this year. So the next piece in the jigsaw puzzle for us was Ontario and Québec, as a result of the Public Mobile acquisition. To the extent which we could have contiguity of that band on a pan-Canadian basis, we would always look for such opportunities. We think it's a smart thing to do. The value of that band, since the 2008 AWS auction, has increased markedly. This is a PCS spectrum. But as we live in a deeply data-consumptive world, the value of spectrum has appreciated materially. And things that have driven that is not just the data-consumptive world that we live in, but the fact that we've seen a developing ecosystem around the G band out of the U.S. as a result of what AT&T or other U.S. carriers are doing in that regard. And it was highly notable that with the iPhone 5s and 5c launch, as they look to harvest the economies of rationalized SKUs on a global basis, the C -- the G block band inculcated within that chipset, I think, is highly notable. I'm pleased with the way that we are positioned in that regard. Now it's not just good in terms of the G block, but when the H block becomes available over the next couple of years, I think we have advantaged positioning in that regard and leveraging frequency, contiguity is an important thing to contemplate as you're looking to secure more spectrum to support advanced data services within the LTE environment for consumers. And clearly, as a result of what U.S. carriers are doing, AT&T and the like, there's a developing LTE ecosystem around the G block. In terms of pan-Canadian interoperability, you're going to have multimodal handsets that can shift between bands and frequencies. So I don't see that as being an impediment for us. In terms of the relationship with Bell, that's a relationship that's a network sharing relationship. Where basically, it takes place at the RAN level with the MOCN technology to support capital efficiencies, and we've used that fruitfully. The contribution on the spectrum side is really just to support our respective client base -- our respective client bases between the 2 organizations. But the network sharing agreement is just that, it's more about RAN network sharing than it is about spectrum sharing. And I'll just leave it at that.
Maher Yaghi - Desjardins Securities Inc., Research Division: So the CapEx that you're going to be putting to deploy, and use that block will be shared by you and BC?
Joseph M. Natale: We'll be split, I think, would be a good way of describing it, Maher. But on a geographic basis, in terms of where we've got perspective build responsibilities. But yes, you can think of it as shared CapEx at the RAN level to support all the frequencies that the organizations need to be successful.
Operator: Next question comes from Dvai Ghose.
Dvaipayan Ghose - Canaccord Genuity, Research Division: So let me ask you about your investments. You've tweaked up your guidance of CapEx this year to $2 billion from $1,950 million, I'm wondering what the drivers are? But more importantly, as we look into 2014 and beyond, what are your investment priorities including things like Wi-Fi, fiber-to-the-home, et cetera? And whether you believe that capital levels will be maintained at around $2 billion or whether you see material changes?
Darren Entwistle: Thanks, Dvai, firstly, I wouldn't mind just taking a look back over the last 14 years from an investment perspective. And I believe this to be a truism. TELUS has never spent $0.01 of the money of our investors on anything else than our core business. And I think that's a tremendously differentiated track record from our peer group. Not $0.01 on anything other than our core business. And in particular, most of the money that we have spent has been on broadband technology in support of both our wireline and wireless businesses. So when you look at the investment over the third quarter, and prospectively for this organization, you can see us investing in the extensibility of our broadband wireline business to support what has been a deeply successful operating result for TELUS TV, for Optik high-speed Internet access and now, most recently, we've commenced our small cell program on a modest, considered and controlled basis. But we've commenced doing that in urban areas. So extending our broadband wireline network is not just for the greater good of our TV product or our high-speed product or VoIP on a derived basis in the future, but also for backhauling the wireless traffic captured within our small cell topology. The other aspects of CapEx that you can see in the Q3 results is on the wireless side. And clearly, if you're going to be #1 on customer service, then you need to make sure that you can give the clients what they want in terms of speed, coverage and reliability. And given the comments I made previously about being in a data-consumptive world, it's necessary for us to have a combination of spectrum availability, as well as network infrastructure investments in cell splitting and cell densification to make sure that our networks are not congested, so that the clients get the speed and the reliability and the coverage that they want. And then the last aspect of our CapEx investment is, we're still finishing off the significant investments that we've made in our super Internet data centers in Eastern Quebec and British Columbia, and getting those operationalized to support the needs of both the TELUS organization and external clients. And here are some things that I think are notable in terms of corollaries associated with our investment thesis in our core business. Number one, we can afford to do it because we have one of the strongest balance sheets in our industry on a global basis. And that, that balance sheet for us is a competitive weapon, whether it's investing today for the benefit of tomorrow in terms of broadband technology, or premium positioning, as it relates to future spectrum auctions. It's a tremendous competitive weapon for our organization. Next what differentiate TELUS from our global peers, Dvai, I think, you and others have recognized this. At TELUS, we can do 2 things that are typically mutually exclusive at other organizations, but they're mutually inclusive at the TELUS organization. And that's, we can invest for the future in the areas that I've alluded to, while simultaneously returning significant amounts of cash to shareholders through our dividend growth model and NCIB programs. And there's not a lot of companies that I know on a global basis that have given a 3-year forecast on a dividend growth model, let alone, a 10% growth rate that we're targeting on an annual basis, or set out an expectation that we're going to buyback $2.5 billion worth of shares by the end of 2016. So to be able to invest for the future and deliver on those cash return programs are tremendously important to us. And I want you to think about something in terms of the way we run our business. When I'm standing up there at the AGM in 2016, you're going to ask me, "Mr. Entwistle or Darren, your 3-year growth model is coming to an end. What are you going to do in 2017, 2018 and 2019?" And if I'm going to give you the answer that I think you're going to want to hear, then I've got to invest in 2013 and 2014, and bring those growth trajectories to fruition over the longer term. And that's exactly what we're doing right now with our broadband investments in both wireless and wireline. We're supporting a successful trajectory of this organization prospectively, that makes sure that growth events like the dividend growth model are recurring rather than nonrecurring. And it's great to have strong quarterly results, such as what we delivered in Q3, on a comprehensive basis, both financially and operationally. But ultimately, what has made TELUS successful is we play the long game. And I can tell you right now, the decisions that we're making to support the broadband technology investments, which are driving our wireless and wireline results, those are the type of things that we do today, so that I can give you the answer in 2016 that you want to hear in terms of the extensibility of our dividend growth model in the foreseeable future from 2017 to 2019. And I think that's the differentiating factor for us.
Operator: Our next question comes from Philip Huang.
Phillip Huang - UBS Investment Bank, Research Division: I've got a quick question on data roaming. I think it's interesting that TELUS has been able to see increased roaming volume as one of the drivers of your data revenue growth because it seems like some of your peers are still not seeing that. I'm just trying to understand how TELUS is able to outperform on that front and was wondering if you could provide some color around that. And do you see it as an ongoing trend?
Darren Entwistle: Okay. So a few thoughts on that, Philip. First of all, with the advent of our launch of HSPA, we, a few short years ago, joined the roaming fold. And significantly before that, one of our competitors had an effective monopoly of international roaming as a result. We've managed to grow that portfolio of business, an opportunity for us since then. Along the way, we've made some very roaming-friendly initiatives -- customer-friendly initiatives transpire because the challenge in the roaming market is twofold: One is, we have to find that place where there's elasticity of demand based on the price point. And the TELUS organization 2 years ago cut roaming rates by 50% in an effort to help our customers try to find their way to feeling more comfortable around roaming when they're out of country. The second thing that we did that's also on that vein was to lead the way with respect to roaming notifications. So giving customers that sense of comfort that when they are roaming, the notifications are coming their way to help them understand how much they're spending at different key monetary points. We've also capped their roaming expense at $200, to make sure that they are fully cognizant of when they're reaching that point, as a whole. And we'll continue to launch other customer-friendly initiatives, whether they be onboard applications that will continue to give customers a sense of how much they're consuming. And we'll continue to negotiate better rates, better bilateral agreements across the globe with other carriers, so that we can pass some of those savings along to our customers and continue to create that sense of value and that sense of security or certainty around the cost of roaming. I think it's been that kind of focus that has really allowed us to grow the roaming revenue for our organization. And we're preparing to lead the way on both of those fronts, as a whole. And we've had the opportunity because we're a new entrant to the roaming space in the last number of years. And as a result, we can take a much more customer-friendly and measured approach to the opportunity.
Phillip Huang - UBS Investment Bank, Research Division: Right. And just a quick follow-on on the investment side. I know in the past, you've talked about doing sort of fiber-to-the-home brownfield, 4 communities a year over 7 years. I remember that was sort of like a couple of years ago that you guys mentioned that. So if I'd kind of do the math, and including sort of population growth in the -- in your region, in about by 2019, I figured that about 70% of the households within your sort of top 48 markets will have sort of fiber-to-the-home, is that roughly correct?
Darren Entwistle: Without putting a specific number on it, I think I'll leave it that a lot more households in 2019 will have fiber-to-the-home than what the case is today. I think you can expect that, that technology will continue to progress. And we'll be part of its progression. And I think, it's the right thing to do to support not just our wireline product suite, but also the backhauling of our small cell solutions that we will have, particularly within some urban centers. So whether it's 2019 or 2020, let's just say that the deployment of fiber-to-the-home will have progressed significant by the time we reach that timeframe.
Joseph M. Natale: If I could just add one thing. We'll continue to expand our coverage footprint. We're now sitting at 2.65 million homes. We'll do it by not just pushing VDSL2 deeper into our coverage area, but also by the greenfield fiber build the Darren mentioned, as well as brown and greenfield fiber build that Darren mentioned. But recognize that as today, as we're building VDSL2 deeper into our access infrastructure, not only are we getting better coverage in some areas, but we're taking areas that we're essentially struggling with loop lengths originally, and below that sort of 10-meg profile. With VDSL2, we can kind of graduate them into the coverage area, as well as expanding the coverage as a whole in the short term. So what you'll see from us, regardless of technology, is a very sanguine and measured approach around the economic return and investment that Darren spoke about a few minutes ago in response to Dvai's question.
Darren Entwistle: That's right. Increasing our addressable market as a result of that.
Operator: The next question comes from Greg MacDonald.
Gregory W. MacDonald - Macquarie Research: One of the things that stood out to me this quarter was the fact that you had a sequential increase in ARPU growth. That's contrary to what some of the other carriers saw. You have strong data. Everyone's got strong data. But one thing that I would point out is, you're not seeing the same magnitude of voice erosion that the other guys are. One theory out there is that the industry's going to have to offer more voice sweeteners to stimulate the smartphone growth as the business matures. You don't seem to be having to do that, if that, in fact, is what's driving here. Could you speak to this issue? And whether there is a risk that your voice erosion starts to pick up? What you think is happening in the market?
Joseph M. Natale: It's Joe, Greg, I'll answer the question. So I think you know the data story on the data side. We continue to drive smartphone penetration. We continue to focus our attention on the highest quality, highest value subscribers who are consumptive of more data, continue to drive our bring-your-own-device strategy add a line capability. We continue to offer incentives for people to add tablets and other devices -- connected devices to the household data sharing pool. So we'll continue to drive all those things in the data front, further enhanced by the roaming conversation from a few minutes ago. On the voice side, we've been on a path of what our team calls more from more on the voice side now from the last few years. And the recognition being that, as voice services become more commoditized, as voice services move from being a rate-based capability to more of a feature set, were going to get to a place where voice is a feature. It's just a question of when we get there. Our view has very much been, let's offer customers more for more. In other words, let's give them better value, more quantity of voice in exchange for a higher price point. And therefore, they consider themselves getting more value in the process. And we get the chance to kind of moderate some of the voice ARPU erosion that is naturally happening, as a result. You'll see that in our SharePlus plans right now. SharePlus plans are also, as a feature, looking to create a floor as much as possible around that voice ARPU. And the add a line around bring-your-own-device is $35. They can either share it in the family or household, data plan gives you your voice and text capability on unlimited nationwide basis. So it's very much been that strategy of more from more, Greg, nothing more complicated than that. And then driving for the highest value subscribers because in a world where most people have a smartphone, yes, there's more penetration to be had. You have to really focus on quality.
Darren Entwistle: So Greg, just to maybe speak about sustainability. I think it is interesting to note that this is our 12th consecutive quarter of ARPU accretion, supporting the comments that Joe was just making in that regard. And let me just give you a couple of thoughts on the air cover front to mitigate things like voice erosion. Number one, you look at smartphone penetration, at 75% of our postpaid base today, my view is that, that's going to 100%. And I think that's going to be assistive to this organization in terms of overcoming areas where we're experiencing commoditization and margin pressure. Number two, as a result of that, you can see us still delivering discernible data growth, whether it's nominally at the 17% zone in terms of data revenue or 12% to 13% at the data ARPU level. Next, we've got some boat anchors at this organization that we continue to deal up. And I referred to them during the Simon Flannery response. We've got an ARPU drag on CDMA and iDEN that will not be with this company in perpetuity. Next, the Koodo smartphone business is still developing. That's not the original heritage of the business, but as smartphones become more prevalent within the Koodo base, that also makes a contribution. And then lastly, if you think about the comments that Joe made earlier on the call on international roaming, outside of North America, that wasn't a market that we typically played in. And I do believe that there is a price elasticity, stimulation of demand opportunity that we can pursue on the price point front of where we don't have to be concerned about repricing our base because we did not traditionally play in that market outside of North America. So all those things, I think, are going to be helpful. And then lastly, you got to remember that back in 2009, we were the guys that originated the acronym AMPU. And to say that cost efficiency was not a program exclusive to our wireline business, but needed to be a approach and mentality that we imbued within our wireless businesses as well, because it was going to experience the same type of technology and competitive pressures as our wireline business. And you can see them on the voice front. And I think Joe and the team have done a terrific job at driving cost efficiencies out of our wireless business to support a better EBITDA flow-through from revenue. And that's just something that we've got to do on a chronic basis going forward. No different than the way that we invest in products and technology. We've got to invest in cost efficiencies on the wireless business to support strong AMPU, even if we've got ARPU under pressure.
Operator: Comes from Richard Choe from JPMorgan.
Richard Yong Choe - JP Morgan Chase & Co, Research Division: In terms of the churn result on postpaid, it was very strong this quarter, is this a new level, no splitting hairs a little bit, that we can kind of see going forward? And with that, I guess, the retention spending at your peers this quarter kind of fell a little bit, whereas yours stayed flat, relatively flat, and I was wondering what drove that.
Darren Entwistle: I think the consistency of 11.2% that just speaks that this is a regular rhythm within our organization. In terms of whether we can do better, that's a great point. I think Joe and the a team can do a lot better than that. Joe, over to you.
Joseph M. Natale: Thanks, Richard, I appreciate the new target you just set for me. The most central theme of our wireless strategy has been around churn. The benefit of leading churn is tremendous in terms of not just the obvious sort of retention elements of keeping customers, but by driving focus on retention and making the right investments in customer service, customer-friendly initiatives, by trying to lead the pack, if you will, on that front. It gives us a great opportunity to kind of stand back from the fray when we see intensely aggressive promotional plans in the marketplace. I often say to my team, the last 10,000 gross loads in the quarter are the most expensive of all to get. When the intensity is at the highest and, at times, it feels like people have lost their minds in terms of some of the promotional offers that are out there. So when you've got that type of churn performance, you have an opportunity to stand back from the fray and focus your efforts on investments on other customer-friendly, customer support-type initiatives to continue to perpetuate our leadership with respect to churn. So at the end of the day, we're going to continue to make those investments. And we think 11.2% of network revenue this quarter is the right investment for a 0.99% postpaid churn. I am certainly going to push very hard to keep the churn level in that zip code, recognizing the fact that there is seasonality around churn. We're about to enter one of the most seasonally intensive quarters of the year. In fact, the quarter kind of plays out in the last 3 weeks of December when everybody is shopping. Everyone's in the mode of looking for a new phone, a new price plan, et cetera. And with that opportunity usually comes more froth in the marketplace and a sort of game-on for all of us to go and get the next round of available customers. With that, we kind of get degrees of elevated churn. That's normal kind of seasonality in the business. But we are very proud of the fact that we are the churn leaders in the industry. It's very important for us. It's central to our culture and our focus as an organization.
Darren Entwistle: It's interesting to note that back in 2009, everyone thinks that the major launch was our move to Wideband CDMA. But the major launch for TELUS was our strategy, our philosophy and our #1 priority of putting customers first and the goal that we set the organization was to be #1 in the world when it comes to likelihood to recommend in terms of the voice of the customer. And that is the #1 priority of this organization, and to give you a illustration as to the seriousness of that goal, 60% of the performance bonus pool at TELUS is determined by how well we do on the customer service front. And that's for the totality of the organization from the executive leadership team, right down to our front-line team members. And I don't think there are very many organizations around the world where 60% of their performance bonus pool is adjudicated upon by the customer, but that's the case at TELUS. And that's what's driving the type of results that you've seen, whether it's our complaints being down 27%, when the industry went up by 26%. The fact that we've only got 6.4% share of the total complaints. And that's down 500 basis points on a year-over-year basis. Or to get a postpaid churn rate at the sub-1% level. Second thing, in terms of more to come on this front. I think as we see the permeation of our SharePlus plans, I think that will improve client stickiness within the household. It's a form of bundling, in this case data pooling within a household. Also, in terms of bundling, I don't think we've -- we're just at the tip of the iceberg in terms of wireless wireline bundling. I think that's an area where we've chronically underperformed, and I think that's an opportunity for us to improve for the foreseeable future. And then the last thing, I'll tell you what the secret sauce is for TELUS on this front. And it's not the magic of technology. And it's not customer contracts. Not all the things that people would look to in terms of, why we do well in this space. It's the fact that last week, we just finished our employee engagement survey conducted by an independent third party, Aon Hewitt. A lot of corporations do this all over the world. And our employee engagement score was 83%, and Aon Hewitt, that does this on a global basis said that we, for a company of our size, have the #1 engagement score in the entire world. And when you have that level of dedication, commitment and passion exemplified by your employees, that's when you deliver the type of results that we're seeing now in the client experience, and why they're manifesting themselves in our operational and our financial and our economic results that we're generating.
Operator: Glen Campbell.
Glen Campbell - BofA Merrill Lynch, Research Division: My question is on network sharing. Darren, you touched on some of the investments that TELUS has been making in wireless and small cells and the additional spectrum investment. So we all, I guess, broadly understand and see the benefits of your network sharing deal with Bell. But my sense is that some of what you're doing here is sort of outside that. Without getting into all the nitty-gritty of the deal, could you give us a sense conceptually of sort of what's outside? And how you bring it into the deal? How you get the CapEx efficiencies by sharing with Bell where that makes sense for these sort of major incremental initiatives?
Darren Entwistle: Glen, I think it's enough to say right now, that the network sharing agreement that we have with Bell is at the macro wireless level. It's been serving us well from the days of 1xRTT through the EVDO deployment through the HSPA employment -- deployment and now into LTE. I think at the end of the day, when you have an opportunity to use 2 labor pools to deploy new technology on a Canadian basis, you're going to deploy new technology twice as fast as your other competitors. And when you're using 2 balance sheets, you're going to be twice as cost efficient in terms of the economics of your operations. And I think as a result of that, it's hard to conceive anyone bettering the TELUS organization when it comes to macro wireless network performance from a speed, coverage and reliability perspective for the reasons that I've just articulated. And I think that served the TELUS company well, and I think it served Bell very well. And that's why we see tremendous sustainability in the agreement now that's existed for well over a decade. In terms of how that agreement expands, I'm not going to speculate on this call: a, because it's not appropriate; and b, because there's areas that we've not yet envisaged or remain to be discussed. And whether there's extensibility to a small cell environment, that remains to be determined. Is there more that we can do as it relates to the IPTV product? There's an area where you don't have a competitive overlap per se and an area where maybe there's opportunities for collaboration, better economies of scale from a technology point of view. To the extent to which we can partner and generate a benefit from that partnership, then we're going to look at what we can exploit in that regard, and whether it's Bell or other organizations we think that would make good sense to partner, whether it's wireless, macro or micro, or whether it's wireline, we'll evaluate those opportunities as they come along. The thing that I think is important, and you need to take away, that's a platform. What you do with that platform is what's going to differentiate you. It's the combination of that with our customers first mentality, with our view on cost efficiency and the way that we're complementing our broadband wireless investments with our ILEC broadband wireline investments. That's when you start to see the significant levels of differentiation. And we just execute very well as an organization. When you have this continuity of performance that you've seen from TELUS, it's down to, a, having the right strategy, but tremendous execution behind it. And again, I go back to the comment. When you've got the world's leading level of engagement from your team members, you're not going to have perfect execution, but you're going to have better and positively differentiated execution. And that's why you see the distinction in the results, and I'll leave it at that. And you can speculate what opportunities for expansion there are in that network sharing agreement. And we can discuss that offline.
Darrell Rae: So if we didn't get your question or you have any follow-up, as always, feel free to reach out to Ian, Robert or I. And on behalf of Darren, Joe and John, thank you for taking the time for you to join us today.
Darren Entwistle: Thanks, everyone.
Operator: Ladies and gentlemen, this concludes the TELUS 2013 Q3 Earnings and Guidance Conference Call. Thank you for your participation and have a nice day.